Operator: Welcome to the 2017 Third Quarter Conference Call for Genesis Energy. Genesis has four business segments: The Offshore Pipeline Transportation Division is engaged in providing the critical infrastructure to move oil produced from the long-lived world-class reservoirs from the Deepwater Gulf of Mexico to Onshore Refining Centers. The Sodium Minerals and Sulfur Services Division produce includes trona and trona-based exploring, mining, processing, producing, marketing and selling activities as well as the processing of sour gas streams to remove sulfur and refining of them. The Onshore Facilities and Transportation Division is engaged in the transportation, handling, blending, storage and supply of energy products, including crude oil and refined products. The Marine Transportation Division is engaged in the maritime transportation of primarily refined petroleum products. Genesis operations are primarily located in Texas, Louisiana, Arkansas, Mississippi, Alabama, Florida, Wyoming and the Gulf of Mexico. During this conference call, management may be making forward-looking statements within the meaning of the Securities Act of 1933 and the Securities Exchange Act of 1934. The law provides safe harbor protection to encourage companies to provide forward-looking information. Genesis intends to avail itself of those safe harbor provisions and directs you to its most recently filed and future filings with the Securities Exchange Commission. We also encourage you to visit our website at genesisenergy.com where a copy of the press release we issued today is located. The press release also presents a reconciliation of non-GAAP financial measures to the most comparable GAAP financial measures. At this time, I would like to introduce Grant Sims, CEO of Genesis Energy L.P. Mr. Sims will be joined by Bob Deere, Chief Financial Officer; and Karen Pape, Chief Accounting Officer.
Grant Sims: Good morning, and welcome to all, and how about those astros. The third quarter was transformative for the partnership with the accretive acquisition of the Alkali business for $1.325 billion and the strategic long-term decision to reset the common distribution to $0.50 per unit defining a visible path for increased coverage and reduced leverage, while being able to grow the quarterly distribution by at least $0.01 per quarter for each of the next 20 quarters. This strategic reallocation of capital was a proactive decision that we felt was in the best long-term interest of all of our stakeholders given where the market was pricing our implied cost of equity. The financial reports -- the financial results reported today for the third quarter clearly illustrate that this was a discretionary proactive move. First, our adjusted debt to pro forma EBITDA ratio at 9/30 was 5.28 down from 5.4 at 6/30 in spite of consummating a $1.325 billion acquisition, well within our covenant of 5.75x. Second, had we made the decision to hold the distribution flat to the second quarter, the coverage of that distribution based upon our available cash actually would have gone up to 1.04x in the third quarter versus the 1.02x reported in the second quarter. Finally, the calculated coverage for the third quarter based upon the reset distribution was 1.5, right in the middle of the targeted range we guided to. These financial results were achieved in spite of the negative impacts felt from Hurricane Harvey, the scheduled 5-year regulatory dry-docking of our American Phoenix, some extended turnarounds at several offshore hubs and turnarounds at several facilities in Alberta, which ultimately affected throughputs in our Baton Rouge corridor facilities. Also, of note, earlier this year, we announced and discussed our intent to market certain nonstrategic assets with targeted proceeds of $50 million to $75 million. Subsequent to the end of the third quarter, we consummated another transaction bringing year-to-date total cash proceeds of approximately $76 million representing an aggregate GAAP gain of approximately $40 million an implied multiple to us of in excess of 30x. All of this has not yet been recognized in our reported balance sheet. And in any event, none of it would flow through our non-GAAP measures of EBITDA or available cash. The financial results for the quarter ended 9/30 is not the story here at Genesis. As we recently discussed, we expect to report record net income, cash flow from operations, adjusted EBITDA and available cash before reserves in future periods. Even with some of the headwinds in certain of our legacy businesses, about which we have been very forthright and explicit, we've built a company currently capable of generating EBITDA approaching $700 million annually with visible growth in front of it and positively leveraged to cyclical recovery in certain of its businesses. Normally, at this point, I'd hand it over to Bob, to do a typical quarterly comparison of this quarter over the prior year's quarter. We think the discussion in the earnings release is expanded in our 10-Q, adequately checks the box for those comparable discussions. We think it might be more useful to provide a little color around our previous assertion of visible growth, and positively leverage the cyclical recovery in certain of our businesses. Let me start by saying, we are very analytical culturally, and we have access to a lot of very good information, a substantial amount of which is subject to nondisclosure and is deemed commercially sensitive. Having said that, I'm going to try and go segment-by-segment with how we view the short, intermediate and long-term expected financial performance of our businesses, while honoring and protecting that information. It is true there are only today 20 mobile offshore drilling units or MODUs working in the Deepwater Gulf of Mexico versus around 40 several years ago. About the same percentage decline if not actually a little less than onshore rig counts. But just like the onshore, the efficiency of the MODUs is substantially improving. For Genesis, in general terms, this translates into the following: There is active infield drilling at several dedicated connected platforms yielding 2018 and 2019 production with 0 of our capital required. We're finalizing agreements for 2 third-party operated subsea developments being tied back to existing dedicated and connected hubs, one with first delivery in 2018 and another in 2019 with 0 of our capital required. Active discussions with several other third-party and/or host-operated subsea tiebacks to existing dedicated and connected fields, hubs, which if sanctioned would be 2019 to 2021 type first deliveries, again, with 0 of our capital required. We have the ability to move excess volumes from third-party owned and operated pipelines that are anticipated to have insufficient capacity to move volumes dedicated to their systems during the 2018-2021 time frame with 0 of our capital required. Mad Dog 2 is coming on in late 2021 or 2022, you get the story, with 0 of our capital required. We're in active discussions with 4 new plus or minus 75 kbd stand-alone and new hub type developments anticipated to be sanctioned in 2018, with first deliveries in the 2022 to 2024 time frame, one of which would require 0 of our capital, and 3 of which would not require, but would possibly represent discretionary SEKCO type lateral opportunities for us in the 2020 to 2022 time frame. Turning to our Sodium and Sulfur segment. You got to agree that 3 months is better than 1 month for the reporting of an accretive transaction. The fourth quarter will be the first full quarter of financial results from our recent acquisition. As we stated, the soda ash business is performing at or above our expectations. Our historic sulfur and ash business continues to do well with continuing favorable and/or improving macroeconomic conditions, we expect the sodium and sulfur businesses to continue to steadily perform with virtually certain modest growth and potentially meaningful growth early next decade. In Onshore Facilities and Transportation, we are very encouraged by what we're seeing. We have maintained for at least the last 9 months that we would expect a ramp in volumes throughout 2017 and into 2018. And in fact, it was our belief that it could take until the fourth quarter of 2018 to see the full contribution from a number of our recent organic opportunities. We still believe that to be the case. Yet, we're seeing significant volume growth. For instance, please see the operating data table provided under release, where Texas volumes have grown to 45 kbd from 13 kbd. And Louisiana volumes have grown to 130 kbd from 30 kbd a year ago. We believe these early results clearly validate the fundamental rationale behind those investment decisions. I would also point out we continue to pursue additional meaningful dedications and gathering opportunities in and around our existing footprint in the Powder River Basin. Beyond the existing term dedication of acreage, primarily in Southern Campbell and Northern Converse Counties in Wyoming. A portion of the production from this dedicated acreage is delivered to our facilities and dedicated to our facilities for downstream service by third-party owned and operated gathering system. Turning to Marine. The American Phoenix is out of her scheduled dry-dock and back on the clock. Everything else the same, we would, therefore, expect the fourth quarter to be $1.5 million to $2 million better simply because of that. Our utilization rates, especially in black oil or dirty service remain quite high. But the spot day rates are challenging. As a general proposition, the Marine market is oversupplied from a capacity point of view and that's not something that turns around quickly. Although, it seems from time-to-time it may be bouncing along the bottom. Having said that, the Marine segment now represents only 8% of our total quarterly segment margin. So a little more backup, even if it were to occur, it's just not that big a deal in the overall scheme of things. In summary, based upon our internal fundamental analysis, we're satisfied and excited and are at least not concerned in the case of Marine about the near intermediate and longer-term outlooks for all of our businesses individually and certainly in the aggregate. I know I've gone over my typical allotted time, so we'll pass on Bob's typical prepared remarks. As I mentioned earlier, we go into a lot of discussion in the release in the queue, which was filed this morning regarding actual results and how they compare to prior year's quarter. We're happy to answer any questions around that. In summary, we believe that recent actions and strategic steps we've taken will serve our goals of strengthening the balance sheet, enhancing our financial flexibility to be opportunistic and renewing our growth outlook. Taken together, we believe these steps position the partnership to be able to generate strong total returns for our unitholders in the years ahead. As always, I want to recognize our professional and dedicated employees and warmly welcome the some 900 plus that have recently joined us from Wyoming and Philadelphia. I would also like to say to those employees and their families that have been and continue to be affected by Harvey that they continue to be in our thoughts, and we are here to help. We will continue to all work together to drive value for all of our stakeholders while never losing sight of our commitment to safe and responsible operations. With that, I'll turn it back over to the moderator for any questions.
Operator: [Operator Instructions] Question from TJ Schultz. Your line is open.
TJ Schultz: I guess, just first on the soda ash business, it did $166 million in EBITDA trailing when you bought it. Is that a good run rate still? Is it doing better than that now? Or do your expectations for that business, and I know you said you're doing at least as well as your expectations, if not better, but does that consider any softness going forward from some of the new supplies hitting the market?
Grant Sims: Our expectations are, call it, $40 million to $41 million a quarter over the next several quarters.
TJ Schultz: That's helpful. Okay. In the offshore business, you mentioned a contractual step down on the lateral, just any color on how much impact that had? And if there are other contractual step downs or step ups that we need to consider over the next couple of years?
Grant Sims: That -- the full effect of that was, it started actually July 1. It was on a quarterly run-rate basis, approximately little over $2 million. In the third quarter of 2018, there will be one other reasonably visible step down we picked up through an equity and earnings contribution because it's on one of our joint venture pipelines, approximately $3 million a quarter net to us. On the other hand, we think that as I try to give an indication that increased throughput given the activity levels in and around both at specific pipelines as well as others that will more than offset that in the prospective periods in the second half of '18.
TJ Schultz: Okay. The onshore business, particularly, in South Louisiana, if you could just expand a bit on throughput at Baton Rouge? I think, you said there were some negative impacts during the quarter. Just kind of what some of those moving parts are? And what the ramp you would expect there over the next year or so?
Grant Sims: Yes. I think that if you look at the sequential quarter, second quarter to third quarter, you will see rail volumes were down in the third quarter relative to the second quarter. That's really a function of some of the data points that I gave relative to issues in Alberta. We're potentially looking at, at least, in the fourth quarter, a reramping back up but possibility we think really is going to be in the first quarter and beyond when we see us going back to those second quarter kind of run rate numbers. And, in fact, we would expect to exceed those numbers from a rail point of view. Those are both -- and they will show up and we will report those as rail as well as throughput -- incremental throughput on our Louisiana system. But my point is, in both Louisiana and Texas, TJ, in my prepared remarks is that we've been saying for the last 3 calls that we expect the ramp to occur throughout '17 and '18. And that -- I mean, we're not even in the fourth quarter of 2017, and yet we guided that we would not be kind of at what we would anticipate to be designer estimated run rate until the fourth quarter of 2018. So we believe that there is incremental ramping, may be lumpy, but significant additional financial contributions. We see the ramps between now and the end of 2018.
TJ Schultz: Just lastly on the preferreds. They're paid in kind this quarter, just kind of rationale there. Should we expect cash pay or PIK going forward?
Grant Sims: We would anticipate picking that. We have the right at our election to PIK it for the first 18 months. So depending upon where we are in our overall other financial metrics, we are highly likely to PIK it for that 18 months period and then start cash pay or hopefully, at some point, we get to the point where they're incented to convert to common units.
Operator: Next question from Eric Genco. Your line is open.
Eric Genco: Just wanted to ask, you've showing some pretty strong sequential permits on the onshore Texas system. Can you remind me what the capacity that line is relative to the 45.3 that it did this quarter? And how do you see those volumes ramping relative to where it's at now and capacity in the next year?
Grant Sims: The total capacity is probably in excess of 200,000 barrels a day. I think that from a design point of view, we would anticipate continuing to see ramps. And we think that the main rationale for the pipeline is to be able to get to the medium sours from the Texas City area up into the Webster area for further distribution to refineries. And we think that, that market in and of itself could ultimately lead to upwards of 150 kbd of total throughput.
Eric Genco: And I wanted to ask, correct me if I'm wrong, I believe the Mississippi pipeline dumps into cap line or one of them does, I think it's Mississippi? If cap line is reversed as you're talking about now, what happens to the Mississippi system EBITDA? And does it go away? Does it improve? Or is it -- I imagine, it's a relatively small piece, but how big is that relative to the 25.6 margin this quarter?
Grant Sims: In round terms, it's about $1 a barrel, right? So it's a whopping $8,000 a day if it went to 0. So it's not really all that critical from our own perspective. I think there are a number of discussions that -- for the production, which is served by that line, there are other ways to get it to other refinery centers through, quite frankly, other Plains facilities in Mississippi and elsewhere. So we don't anticipate that if cap line were reversed in 2022 or whatever 2023 or if ever, that it would have any kind of significant impact on us or the producers whom we serve.
Eric Genco: And then if I can come back real quick to TJ's question on Louisiana. Is there a way to look at, I guess, what basically you're saying in Texas in terms of where that could go from a where is capacity? Where is it now? What does that look like? And should we see it more on the Louisiana pipeline volumes or the rail or a bit of both? Just how should that look as it ramps going into next year? Anything you can help us out with there would be awesome.
Grant Sims: The prepared -- the vast majority of the rail volumes are also counted, if you will, in the Louisiana pipeline because we unload them and then we put them in our pipeline. There are lots of ins and outs, and there is -- so it's not as necessarily crystal-clear because we're importing and unloading VGO, which is an intermediary refined product at the Port of Baton Rouge taking it through our tanks that we built at our terminal at the Port of Baton Rouge and then moving it through a pipeline. Those pipeline volumes reflect VGO volumes. I think, we tried to give a breakout down in the foot note which is, the print is so small I can't even read it. And then we have crude oil coming in via rail. We have a number of -- we have crude oil going out by barge and by ship, and ultimately we will have crude oil coming in by ship and moving all around. So its -- and not all of the barrels were created equal from a return point of view or whatever. I mean, the rail barrels are more voluble than just a strict pipeline contribution. So, again, we're not trying to be evasive. But I think that I responded earlier that we would anticipate probably flat sequential rail volumes in the fourth quarter. And hopefully, start seeing a ramp to back to where we were in the second quarter and beyond and exceeding those in 2018 and 2019 and beyond as well as continued kind of other volumes. So its -- there's a lots of ins and outs. I mean, it could go really integrated with the operations at the Baton Rouge refinery. So it's -- I can't give you a much more clarity than that.
Operator: Next question from Barrett Blaschke. Your line is open.
Barrett Blaschke: Just 2 quick ones. First, just kind of the housekeeping item. The rise in SG&A versus the second quarter, is that a new run rate we're seeing with the new assets in place? Or are those some transactional items in there...
Robert Deere: It's almost -- from a GAAP point of view, it's almost all of the transaction costs, which is kind of the -- under 141R, I am getting very technical there, we have to expense those. But where we used to capitalize though in fact in our non-GAAP measures, so we capitalize that, in essence, as part of the transaction costs associated with the Alkali acquisition.
Barrett Blaschke: Okay. So that should sort of swing back down next quarter as things normalize.
Grant Sims: That's the number 1 thing. I mean, it's all those transaction-related costs, is the number 1 thing that reduced our net income on a sequential quarter basis, but is nonrecurring.
Barrett Blaschke: And then just from -- a minute on the Marine business, it looks like that's still -- it backed off again in the third quarter versus the second. And I'm just wondering how much of it is Harvey impact versus dry-docking?
Grant Sims: The dry-dock, as I said earlier, was about $2 million. So it had very little impact. In fact, probably everything else the same a net positive from Harvey in the Marine segment.
Operator: Next question from [Patrick Wang]. Your line is open.
Unidentified Analyst : Grant, turning back to the soda ash business, could you comment on current international pricing dynamics? And what you're seeing in terms of appetite for exports? And then do you see anything on the horizon that could pressure prices ahead from our current healthy levels?
Grant Sims: Yes. I think that there's a lot of -- this is the time of year in the soda ash business for both domestic as well as international pricing for 2018, are being done, so I think that's a little bit too early to comment on where things are shaking out. We believe that the international worldwide market for soda ash ex China, which serves itself because of its own synthetic production capability is growing in order of magnitude of around 800,000 tons a year. So there is a reasonably ample growth to absorb some of the incremental natural production coming out of Turkey. We believe that there's less than 1.5 million of, on an annual run-rate basis tons of that production naturally on. And then ultimately, it should rational world, it should pressure synthetic production in Europe and not to be reasonably competitive with the natural production coming out of Green River. I mean, in the history of the soda ash business, you've seen this movie before. And that was in North America, there in early 1950s over 29 synthetic soda ash production facilities in North America. Today, there's only 1 because of the natural production, the Green River displaced all of the synthetic production. So because of its tremendous cost advantage relative to synthetic production. So, again in a rational world, we would anticipate that the majority of the pressure points should be from a pricing point of view, it would be synthetic production at both the manufactured as well as consumed in Europe.
Operator: [Operator Instructions] No questions at this time. Please continue.
Grant Sims: Okay. Well, that concludes our prepared remarks and we look forward to visiting with everybody in 90 days. Thank you.